Operator: Good afternoon, ladies and gentlemen. Welcome to the FAT Brands, Inc. Third Quarter 2023 Earnings Conference Call.  At this time all participants have been placed in a listen-only mode. [Operator Instructions] Please note that this conference is being recorded today, October 26, 2023.  On the call from FAT Brands are Chairman of the Board, Andy Wiederhorn and Co-Chief Executive Officer and Chief Financial Officer, Ken Kuick.  This afternoon, the company made its third quarter 2023 financial results publicly available. Please refer to the earning release and earnings supplement, both of which are available in the investor section of the company's website at www.fatbrands.com. Each contain additional details about the third quarter, which closed on September 24, 2023.  But before we begin, I must remind everyone that part of the discussion today will include forward-looking statements. These forward-looking statements are not guarantees of future performance, and therefore, undue reliance should not be placed upon them. Actual results may differ materially from those indicated by these forward-looking statements due to a number of risks and uncertainties. The company does not undertake to update these forward-looking statements at a later date. For a more detailed discussion of the risks that could impact future operating results and financial condition, please see today's earnings release and recent SEC filings.  During today's call, the company will also discuss non-GAAP financial measures, which it believes can be useful in evaluating its performance. The presentation of this additional information should not be considered in isolation, nor as a substitute for results prepared in accordance with GAAP. Reconciliations to comparable GAAP measures are available in today's earnings release.  I would now like to turn the call over to Andy Wiederhorn, Chairman of the Board. Please go ahead.
Andrew Wiederhorn: Thank you, operator. We appreciate everyone joining us this afternoon. First and foremost, I would like to thank our teams, franchisees and their employees for their unwavering commitment and hard work that have resulted in the continued growth of FAT Brands.  Total revenue grew 6% to $109.4 million in the third quarter of 2023 compared to $103.2 million in the prior year third quarter. The increase was driven by a 4.8% increase in royalties, a 2% increase in company-owned restaurant revenues, a 228.5% increase in franchise fees and an 18.9% increase in revenues from our manufacturing facility.  System-wide sales in the third quarter grew to $564.6 million, a 0.8% increase when compared to the prior year quarter. On profitability, third quarter adjusted EBITDA was $21.9 million compared to $24.6 million in last year's third quarter. And just to point out that in last year's third quarter, there were $7.2 million of tax credits. Without those tax credits, it would be a 26% increase on a quarter-over-quarter year-over-year basis.  Throughout Q3, we were extremely busy executing on our three strategic pillars. One, growth by acquisition. Two, organic growth. And three, productivity growth for our Georgia-based manufacturing facility.  I'll begin with our first strategic pillar of growth through acquisitions. Over the last two years, our growth strategy has been very focused on our organic development as we digested eight new restaurant brands that we acquired throughout 2020 and 2021. We continue to be selective and opportunistic in our acquisition strategy.  Under this strategy, we recently purchased Smokey Bones Bar and Fire Grill, a full-service restaurant chain with a sports bar atmosphere from an affiliate of Sun Capital Partners for $30 million. This was funded from our existing securitization facilities. In 2020, Johnny Rockets was similarly acquired from Sun Capital Partners. Smokey Bones is known for its great barbecue, award-winning ribs and perfectly seared steaks. And currently, Smokey Bones operates 61 company-owned locations across 16 states.  We expect Smokey Bones to increase annual adjusted EBITDA by approximately $10 million. The acquisition marks our expansion into the barbecue segment and bolsters our presence in polished casual dining, which until now has been represented exclusively by our Twin Peaks chain. Smokey Bones currently has the second highest AUVs in our portfolio following Twin Peaks at greater than approximately $3 million.  Adding a strong player in the barbecue space like Smokey Bones provides our sales team with more development options to offer franchise partners so that they can further their new unit growth. We plan to work hard and hand-in-hand with the Smokey Bone's leadership team to grow the concept through our franchising model. And through our re-franchising strategy, we have plans to build Smokey Bones back to the location count it once had, approximately 120 units.  Approximately half of the operators in the FAT Brands system are multiunit franchisees, operating anywhere from 2 to 75 units, and they are hungry to grow their portfolio with brands that have strong AUVs. In fact, a number of franchisees have already expressed interest in acquiring existing Smokey Bones corporate stores as franchises so that they can grow their portfolio of restaurants. Smokey Bones has many prime real estate locations that could provide conversion opportunities for Twin Peaks and our franchise partners. Over time, we plan to selectively convert locations where appropriate, which will enhance the growth of the Twin Peaks system.  Inclusive of Smokey Bones, the FAT portfolio now consists of 18 distinctive brands with approximately 800 different franchisees who operate more than approximately 2,125 franchise restaurants in addition to our approximately 180 company-owned stores. Presently, we have a total of 2,300 units operating or under construction, ranking us as approximately the 25 largest restaurant company in the U.S. by unit count.  While we have more recently focused on the polished casual segment, we are also looking at other categories to round out our portfolio, such as salad sandwich or coffee brand. As we continue to assess potential targets for acquisition, our focus remains on identifying strategic and EBITDA accretive opportunities with brands that have demonstrated long-term sustainability and robust profitability. They also must be scalable and synergistic with our existing platform, including leveraging our existing manufacturing capacity when possible.  On that note, another strategic priority for us is the growth of our Georgia-based manufacturing facility, which provides pretzel mix and cookie dough for several brands. We believe our factory business today is in its early stage of growth, operating at only about 40% to 45% of its capacity. Still, this is up from 33% two years ago. We also have the ability to significantly expand the capacity of the plant by tapping into our 3.5 acres of excess real estate and the ability to invest in additional equipment that will also enhance capacity.  During the third quarter, our manufacturing facility generated $9.3 million in sales, an 18.9% increase over last year's third quarter. To help increase productivity at our manufacturing facility, earlier this year, we strategically introduced cookie offerings throughout our burger portfolio, FAT Burger, Johnny Rockets and Elevation Burger. We see these additions as a way to further build and enhance our dessert programs. We continue to explore opportunities to add cookie offerings at our remaining brands, including our casual dining concepts and facilities.  Now let's take a closer look at our organic growth. Year-to-date, we've opened a total of 107 new units, including 30 that opened in Q3. For all of 2023, we're aiming to open a total of 150 units. Additionally, this year, we have signed franchise development deals for over 200 new locations, bringing our pipeline for new units to over 1,100 signed agreements, on top of the 2,300 restaurants already open. This pipeline of organic growth is estimated to be worth approximately $60 million in incremental increase to adjusted EBITDA, which massively de-levers us organically.  As mentioned, we are particularly focused on the growth of our polished casual segment, which now consists of our Twin Peaks and Smokey Bones concepts. Twin Peaks is a best-in-class brand that appeals to a broad demographic of customers across the country. The units produce industry-leading AUVs of around $6 million while some of our highest volume locations in Florida are generating AUVs between $9 million and $12 million. They are highly profitable restaurants with an elevated food and beverage program that far suppresses anything else in the category.  This year, we have opened 11 new Twin Peak lodges, bringing our current portfolio to 106 units across 27 states in Mexico, of which more than 70% are franchised. For the remainder of the year, we plan to open five more lodges ending 2023 with approximately 111 lodges. This is a 34% increase in unit count since Fat Brands acquired the brand in 2021 just two years ago. Over the next several years, Twin Peaks plans to grow its unit count to more than 200 lodges and increase the mix of franchise locations to between 75% and 80%.  We currently have over 125 new franchise units signed paid and committed to be built in the next five years. As mentioned, we also plan to selectively convert between 30 and 40 of the Smokey Bones units into Twin Peaks, which will help accelerate Twin Peaks growth. These conversions can take as little as 9 months compared to the 2.5 years needed to build a Twin Peaks from the ground up. The planned unit growth is expected to increase system wide sales of Twin Peaks to approximately $1 billion. As a result of the concept's industry-leading economics and strong pipeline of profitable growth, as previously announced, we plan to take Twin Peaks public in the future. However, the timing and the size of the transaction will be subject to market conditions and other factors, which could include simply a sale or spin out of the brand with proceeds primarily used to pay down debt.  Another avenue of growth we are pursuing is nontraditional venues, our Fatburger location at Six Flags, Great Adventure in New Jersey, which opened last year has exceeded our expectations. As a result, in July, we announced an expansion of this partnership with a new restaurant at Six Flags Fiesta Texas. This is our sixth Fatburger location in Texas with over 40 additional locations planned to open in the state over the next 10 years.  Similarly, we opened a co-branded Marble Slab Creamery and Great American cookies concept in Cooks, Children's Hospital in Fort Worth, Texas, and we'll continue to expand that partnership with a second location in their hospital in Prosper, Texas. We also announced a new development deal to bring 20 new franchised Johnny Rockets to Texas over the next decade. The first location is planned to open in 2024 and will triple the chain's footprint in the state.  Texas continues to be a key growth market for FAT Brands and our portfolio overall, as exemplified by the 80 store development deal we signed in the quarter, which includes several Fatburger, Buffalo's Express and Round Table Pizza locations across the state. Our brands are also expanding internationally. We plan to open 10 new franchised Hot Dog on a Stick locations in Iraq over the next five years, the first unit slated to open next year in 2024. There is also demand in our snack and dessert category. We signed a deal to open 25 new franchised Pretzelmaker locations in Canada over the next 10 years. In doing so, we are building on Pretzelmaker's existing footprint of over 50 Canadian units which underscores our dedication to international growth as we continue scaling the brand.  This deal comes on the heels of the third quarter's comprehensive rebrand of Pretzelmaker. Pretzelmaker's new look will complement the brand's increased demand for online and to-go orders, while continuing to offer fresh baked bite-sized products directly from Pretzelmaker's bakery case. The new design is also optimized for drive-thru locations. To date, we have opened three drive-through locations, two of which opened this year.  Over the last 2 years, our Great American Cookie brand has also experienced accelerated growth opening 80 new locations while entering new states such as Arizona, Oregon, Illinois and New Mexico. This summer, the brand celebrated its 400 opening, including its first location in Philadelphia, which broadened its East Coast presence and increased brand visibility. Since then, the brand has also opened in the Orlando market and debuted for the first time in the Pacific Northwest. Great American Cookies is now located in 33 states in five countries around the world and continues to find success as a co-branded model with sister brand Marble Slab Primary. There are now over 150 co-branded locations worldwide.  We are proud to note all three of our QSR snack brands, Great American Cookies, Marble Slab Creamery and Pretzelmaker were named to QSR's Best Franchise deals list in September, further illustrating the strength of our concepts. Our fast casual brand, Fazoli's also opened a new location in Orlando, which features a double drive-through lane to meet high traffic demand and a second location in Little Rock, Arkansas. It also received recognition as a top innovator in the fast casual space for delivery from Nation's Restaurant News. Fazoli's continues to see strong demand for delivery post pandemic.  Further underscoring the growth of our brands, we've received a number of press accolades this quarter. 13 of our brands were recognized in Franchise Times Franchise 400 list. Additionally, Fatburger was again mentioned as one of the most iconic and well-loved burgers in Los Angeles by the LA Times.  During the quarter, we also bolstered our Board of Directors by welcoming five new directors Peter Feinstein, Matthew Green, John Metz, James Ellis and John Allen. Our Board now consists of 14 members. John Allen, Peter Feinstein and Matthew Green will also serve on our Audit Committee. We are confident that our new Board members' contributions will help us to drive returns for our shareholders. I would also like to share an update on the FAT Brands Foundation. To date, over 35 grants have been awarded to a wide range of nonprofit organizations in areas, including food insecurity, mental health, the arts, adults and children with disabilities, STEM, education and more. What makes it even more rewarding is that the grants hit close to home, all near FAT Brands locations. Further, during Q3, the team at Marble Slab Creamery and Great American Cookies were proud to announce a partnership with March of Dimes to show support and raise money for their NICU support teams during September NICU awareness month. To close, there are significant opportunities on the horizon for FAT Brands. And in summary, we are in a strong position for continued growth. We have a veteran leadership team and a robust management platform and we possess the capability to seamlessly and cost effectively integrate new brands. And our pipeline for organic growth is healthy and continually developing, ensuring sustained growth for years to come, which will naturally delever our balance sheet. We look forward to updating you on our progress on future calls. We sincerely appreciate you joining us today and for your interest in FAT Brands. And with that, I would like to hand it over to Ken Kuick to talk about our financial highlights from the quarter. Ken?
Kenneth Kuick: Thanks, Andy. Total revenue during the third quarter increased 6% to $109.4 million, driven by a 4.8% increase in royalties, a 2% increase in company-owned restaurant revenues, a 228.5% increase in franchise fees and an 18.9% increase in revenues from our manufacturing facility.  Cost and expenses remained largely unchanged in the quarter, increasing 0.5% from the year ago quarter. Included in cost and expenses, general and administrative expense decreased to $24.5 million in the third quarter from $28.8 million in the prior year period, primarily due to the recognition of $1 million related to employee retention credits during the third quarter of 2023 and lower professional fees related to certain litigation matters.  Cost of restaurant and factory revenues increased to $59.2 million in the third quarter of 2023, compared to $55.3 million in the prior year quarter due to higher company-owned restaurant and built factory revenues and the recognition of employee retention credits during the third quarter of 2022. Depreciation and amortization expense increased slightly to $7 million in the third quarter from $6.9 million in the year ago quarter, primarily due to depreciation of new company-owned restaurant, property and equipment. Advertising expense increased to $11.7 million in the third quarter of this year from $11.2 million in the year ago period, and these expenses vary in relation to advertising revenues. Total other expense, net for the third quarter of 2023 and 2022 was $32.6 million and $23.9 million, respectively, which is inclusive of interest expense of $29.7 million and $24.5 million, respectively. Additionally, total other expense net for the third quarter of 2023 included a $2.7 million net loss on extinguishment of debt related to the repurchase of $78.4 million in aggregate principal amount of outstanding securitization notes, which will be held pending resale to third-party investors.  In total, we have $218.3 million of retained securitization notes on our balance sheet available for third-party investors. Net loss for the quarter was $24.7 million or $1.59 per diluted share compared to a net loss of $23.4 million or $1.52 per diluted share in the prior year quarter. And on an as-adjusted basis, our net loss was $17.1 million or $1.14 per diluted share compared to a net loss of $16.3 million or $1.08 per diluted share in the prior year quarter. And lastly, adjusted EBITDA for the quarter was $21.9 million, a $2.7 million decrease compared to $24.6 million in the year-ago quarter. And as a reminder, last year's quarter included $7.2 million of employee retention tax credits. And excluding these credits, adjusted EBITDA increased $4.5 million or 26% over last year's quarter.  And with that, operator, please open the line for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Joe Gomes with Noble Capital. Please go ahead.
Joseph Gomes: Good afternoon. Thanks for taking my questions. 
Andrew Wiederhorn: Hi, Joe. 
Kenneth Kuick : Hi, Joe.
Joseph Gomes: So Andy, Ken, I wanted to start out on the quarter as your expectations going into the quarter, did the quarter results meet your expectations? Were they better or worse? And if they were better or worse, what drove the above or below where your expectations were for the quarter?
Andrew Wiederhorn: Well, I think we beat our estimates of earnings per share and our sales estimates. So we're happy on both fronts there. And something that I think we continue to see success is new franchise sales. Having sold now 200 more stores in year-to-date, adding to our pipeline just shows the strength and interest of our franchise partners in growing the portfolio of brands. So that's always a very good measurement of franchisee health.
Joseph Gomes: Okay. Great. Thanks for that. And I wanted to talk about same-store sales for a moment, if we could. Year-to-date, I think you said they were up 1.3%. But that's down from the first quarter when same-store sales were 4.3% positive. So I was just wondering, maybe just give us what that driving same-store sales and how they were just for the third quarter? And any color there would be appreciated.
Andrew Wiederhorn: Yes. I mean we are seeing what I think everyone else has seen, which is a softer Q3 than Q2 or Q1 and Q2. It's spotty as to which brand it might apply to. For example, Ponderoza and Bonanza Steakhouse chains are now up 18% or 19% year-to-date in comp same-store sales, probably because it's a $15, $16 all-you-can-eat meal with a steak. But we're seeing our snack brands and our dessert brands like cookies, ice cream, pretzels, hotdogs, those brands are up nicely. Again, maybe customers are moving their dollars around. So it's just a little bit choppy. Burgers were a little bit flat for the quarter. And so I don't know if it's consumer spending across the board, but it's just a little choppier than it was before. It's still positive. And we're still opening a lot of stores. We opened 150 new stores this year. So things are pretty good. It's just a little softer than it was last quarter.
Joseph Gomes: Okay. And on the store openings, I know I think at the beginning of the year, you were using the 150 to 175 range. And I think in the transcript for the second quarter, you said 175. Now you're at 150. Outside of just timing of opening, is there anything behind going back to the low end of that range?
Andrew Wiederhorn: It's just pushing into Q1. It's a function of equipment availability, of permitting delays, mainly a little bit of hiring delays and training on the manager side, but it's just slipping a few units looking into the next quarter, and you get visibility early in the year of what people have under construction and their estimated completion dates and opening dates. And to be honest, it's probably no different than remodeling your kitchen. It doesn't always get done on time.
Joseph Gomes: Don't I know that. The preferred, I'll ask the question that after every quarter, you have the roughly $90 million that was due to be repaid and you haven't yet. Any movement or anything new on the preferred that needs to be repaid?
Andrew Wiederhorn: So we have modified that preferred a bit, meaning that -- we've traded some bonds for preferred and some of those bonds were sold to help redeem that preferred. There's still ultimately $90 million outstanding, down from $137 million. So we've made substantial progress in it. It is a high visibility focus for us right now in terms of best use of capital. And so we do plan to work hard on redeeming that preferred with additional liquidity that we have. As Ken pointed out, we have over $200 million of available-for-sale securities on our balance sheet that gives us liquidity on top of our cash balances.  And to the extent that we can raise liquidity from the bond portfolio at prices that we like and use that to redeem preferred we'll do that. But first and foremost, we want to make sure we have a substantial amount of excess liquidity just to have a long runway to achieve one of these debt repayment events. So it's a juggling act of those things, but it's very much in our focus.
Joseph Gomes: Okay. And then year-to-date, adjusted EBITDA is about $64 million. For all of 2022, it was about $89 million, would suggest you need about $25 million in the fourth quarter just to stay flat. Is that possible you think you can exceed what you did in 2022?
Andrew Wiederhorn: So we think that we will exceed the 2022 numbers. Q4 should be very solid for us. And remember that we also had quite a large number of tax credits last year that we don't have this year. So it's really substantial growth. We have to kind of look at it on an apples-to-apples basis, but we actually think that we will exceed the 2022 numbers with Q4 yet to come.
Joseph Gomes: Okay. Great. And one more, if I may. I don't know if you guys could give what the quarter end outstanding debt was in unrestricted cash.
Kenneth Kuick: Yes, I can, Joe. So the unrestricted cash balance at the end of the quarter was $88 million. And as a reminder, we acquired Smokey on the first day of the fourth quarter for $30 million. And then on a debt basis, let's talk space rather than book value. The face value of our securitizations outstanding at the end of the third quarter was $1.158 billion.
Joseph Gomes: Great. Thanks guys. Appreciate it. Great quarter.
Andrew Wiederhorn: Joe, thank you. 
Kenneth Kuick: Thanks, Joe.
Operator: Our next question comes from Alton Stump with Loop Capital. Please go ahead.
Alton Stump: Great, thank you. And good afternoon, gentlemen. 
Andrew Wiederhorn: Hey, Al. 
Alton Stump: Hey. Just want to touch on the last question or ask some questions. Obviously, on unit openings brought guidance down a little bit. I presume, essentially all of that is just delays that seem to be impacting just about everyone right now in the industry, and there's no concern about underlying demand to build stores.
Andrew Wiederhorn: You're correct. And it's like I spoke earlier about your kitchen not getting remodeled on time. It's really just slipping into Q1. The stores are still on track. We have well over 100 stores on the chalkboard for 2024, and we'll get, we think, north of 175 again next year. But this year, we think it's going to be in the 150-something range, not -- it will be more than 150, but I'm not sure how much more than 150.
Alton Stump: Got it. Makes sense. Thanks for that color Andy. And then just on the promotional environment, obviously, commodities coming off of huge highs over the last 18-plus months, seem to be somewhat moderating. How much pricing do you feel -- obviously you guys own 18 brands now. So I'm sure every brand is different. But how -- is in your view, the overall kind of pricing promotional environment that you are seeing on average in your brands?
Andrew Wiederhorn: Well, we're definitely focused more on marketing initiatives now than we've had to be focused on in prior years. With a low interest rate environment and post-COVID bounce back demand by consumers it wasn't hard to get people into the restaurants. And definitely, as we've entered 2023, we've had to spend more money and more time on marketing initiatives to drive brand awareness, remind people that our restaurants are open, that they should come in from a sports perspective, reminding people what sporting events are available basically. [Indiscernible] every single sporting event ever known to man is on TV at the same time, so you can really see anything you want.  And so just spending that time and not taking for granted that your restaurants are open, you want people to come in, has been a push for us. I think it's less about effective LTOs. LTOs cost a lot of money. They don't really drive a lot of new traffic and we haven't seen huge success in driving profitability as much as we have just generally marketing the brands that are open and inviting customers in.
Alton Stump: Got it. Makes sense. Thanks for that. And then last question, and I'll hop back in the queue. But grad [ph] certainly, getting the Smokey Bones deal done. As you mentioned, it is now only your second casual chain along with Twin Peaks. I guess should we be reading that this may potentially mean that you could look at other casual dining options down the road? Or is it just a case of a very good asset came up at the right price for you.
Andrew Wiederhorn: Well, so two things. We consider Twin Peaks and Smokey Bones to being what we call polished casual because they're higher AUVs and higher alcohol percentage. Then we have Buffalo's cafe Native Grill & Wings and Hurricane Grill & Wings in the casual space along with Ponderosa and Bonanza. And so -- and those also have a good bar business, but there's opportunity at Smokey Bones for our franchise sales team to really distribute that brand through our franchisee portfolio and get traction. The Twin Peaks franchise partners have obligations and have capacity to build a good 20 stores next year, plus we'll build some corporate stores and convert some corporate stores. But I don't think that you'll see us buy another Smokey Bones conversion opportunity in the next 12 months or so because we're sort of full with all we need to check the box for development opportunities. I mean we bought another brand. I don't think we could find another 40 stores that we could open at the same time in the next 12 to 24 months. It's just too much to ask from our team in terms of openings and capital to be deployed.  So I think that's not on the table today. Although there are other acquisition opportunities that we're interested in, that will drive our factory business, and there are some that are just flat out good deals out there. Finally, I think I've complained about before a year ago that we really didn't see sellers take -- really take thought of their multiples and their asking prices as rates went up 550 basis points, and you didn't see prices come down. And now I think you've seen prices come down to levels where deals can get done. So that's definitely good news.  It doesn't mean that we are going to go on another acquisition binge, but rather if there's the right deal from a delevering perspective, it's a good cash flow multiple that fits in our other verticals, and we can use our synergies of our back office and one platform to acquire than we will. But really, we're focused on growing this hockey stick of growth between peak and also the factory, which has so much excess capacity that we're excited about those two things and the organic pipeline.
Alton Stump: Great. Thanks so much. In the excitement I said [ph] polished casual. Thank you very much, Andrew. Appreciate it. I'll hop back. Thank you.
Andrew Wiederhorn: Thank you.
Operator: Our next question comes from Roger Lipton with Lipton Financial. Please go ahead.
Roger Lipton: Hi, Andy, Rob, Ken. So the Smokey Bones deal closed on October 1?
Andrew Wiederhorn: September 25 which is technically the first day of the new quarter.
Roger Lipton: Of the new quarter, so it's obviously then not reflected in your results at all. So as of the beginning -- as of this quarter, you're now operating 61 company stores like.
Andrew Wiederhorn: Yes. I mean it brings our total in something 185 company-owned stores, somewhere in there between 61 Smokey Bones, 57 Fazoli's, 33 Hot Dog on a Sticks and 30-something Twin Peaks.
Roger Lipton: Okay. So it obviously is going to take you some time to restructure that portfolio in terms of how many you want to retain for the company, how many you want -- you can sell to existing franchisees of other concepts and how many might be convertible conversion candidates, right? So how would you guess that that's going to affect our -- the fourth quarter?
Andrew Wiederhorn: A couple of things. I mean when we look at the 61 store portfolio, we're very excited to have this brand and grow this brand first and foremost. Second, only about two-thirds of the restaurants are even eligible for conversion. We don't know whether we get half or two-thirds of them converted and that's a function of landlord negotiations and things like that. Probably 10 of them will be corporate stores, probably between 20 and 30 will be franchise locations. Those last 10, whether they're franchise or corporate remains to be seen there.  20 of them are absolutely in franchise markets, where we have existing franchisees. Ten of them are in franchise markets where we don't have a franchisee and either one of our existing franchisees will step up and take it or a new franchisee will come along? Or will operate them and convert them as a corporate store. It also depends on, like I said, landlord negotiations and things like that. So it's a little bit up in the ear, but not that much. We're pretty certain at 30 of the 40 over the next couple of years. So it's not an overnight thing. We're going to operate all 61 of those Smokey Bones well into 2024. And in Q4, we're going to have a good Q4, and as I answered earlier to Joe Gomes, we expect that we will exceed our 2022 numbers from an adjusted EBITDA and annual basis because of that?
Roger Lipton: So is your hope -- is it a realistically hope that the Smokey Bones group of stores, that will not hurt the fourth quarter? Is that reasonable…?
Andrew Wiederhorn: Absolutely. It will help the fourth quarter. It will not hurt the fourth quarter.
Roger Lipton: Okay.
Andrew Wiederhorn: It's a brand that we anticipate on having $10 million a year in adjusted EBITDA from. So unless there's some horrific seasonality, which there shouldn't be in the fourth quarter, we expect it to be helpful to the fourth quarter.
Roger Lipton: Do you expect that $10 million incremental EBITDA will be in effect essentially already in the fourth quarter, in the next 12 months, is it realistic to think that it will?
Andrew Wiederhorn: In the next -- yes, from a run rate perspective in the next 12 months, yes. Will we see all of it in Q4 on a pro rata basis? No, because there are certain synergies that take months or a couple of quarters to realize, things like that. But it's definitely a net positive. It's all good and we're -- it's been an easy transition. They have a great team there. This isn't a big slash and burn type of acquisition. We need those guys running those restaurants or company-owned stores. So we're very happy to have them on our team.
Roger Lipton: Okay. That's helpful. As far as the co-branding activity, which you made quite a bit of reference to in recent months, can you give us any -- even if it's only anecdotal descriptions of how locations do when a second brand is added or even if a new location is open with two brands rather than one.
Andrew Wiederhorn: Absolutely. We tend to see higher average unit volumes when there is co-branding. You can see 10% to 20% increases in your overall sales when you have the brands together because it gives you menu diversity. Today, we have about 280 co-branded locations. It's a combination of about 180 to 190 cookies, ice cream and pretzels, some combination of the two out of three of those. And then there's almost 100 Fatburger and Buffalo's Express locations that are co-branded. And that's been very successful.  It was our first co-branding back in 2012. And here we are 11 years later, and we've got over 100 of those. And there's -- of the franchise pipeline of 1,100, a significant portion of that pipeline, somewhere between 1 and 200 stores have co-branding attached to them as well, certainly in the burger space, doing burgers and chicken wings together works really well. Cookies and ice cream together works and pretzels works really well.
Roger Lipton: Right. Presumably, the franchisees weren't born yesterday in terms of their inclination to do this. Nobody is forcing them. So the fact that they're stepping up speaks pretty well, I guess, on the prospects.
Andrew Wiederhorn: It's a very modest incremental equipment investment for a pretty decent increase total sales average unit volume number. So it's a smart investment by a franchisee.
Roger Lipton: Right. And relatively, the productivity of the built [ph] facility in Georgia. You've made some good progress there, now supposedly 40%, 45% run rate. What would you guess you can do there in terms of a percentage of capacity in '24?
Andrew Wiederhorn: Well, there's two things which I want to be careful not to confuse you on that I think you're going to find very positive. If we find another dough making business or cookie business that we can add into the portfolio there that will take utilization from 40-something to probably 60%. And when we've talked about long term selling that business to another food manufacturer and then getting a long-term contract for our franchise partners, and using the proceeds to reduce debt. We think that, that makes sense and a lot of the potential buyers in the market want excess capacity for their own products or to move other cookie dough business into our plant and then that frees up another plant for them. So that's one point. The other point is for a very modest amount of money, somewhere between $1 million and $1.5 million, we found that we can basically double the capacity of our existing facility before we even knock down the wall and take advantage of the extra 3.5 acres that we have. So basically buying bigger mixing machines will take that 40% to 60% capacity or utilization start to cut in half and just give us that much more. So we just have a tremendous amount of available utilization available capacity at that factory. And that's what people in the marketplace are looking for, and so it will spur us to have some discussions about that in the coming year or two.
Roger Lipton: Okay. Lastly, for the moment, can you give us any rough guidance in terms of the timing of the IPO for Twin Peaks?
Andrew Wiederhorn: Well, given market conditions, I think it's hard to say whether this will be 2024 Q2 or Q3 deal or whether we're better off waiting and letting the market window really open where we see a little bit more of a return to normal. The good news is that the Twin Peaks brand is killing it in terms of growth and new store openings. And while they'll have opened it to somewhere around 111 units this year, there's another 20-something stores for next year and the year after and so on. And we have the locations.  This isn't like we're saying we're going to open them, but we're not sure if we can find a spot, if we can find a franchisee. We have 125 committed franchise units in our system with franchisees obligated to build stores next year and the year after. And now we have 40 locations that can be converted. So if we have to wait a little while, it just means that the brand is going to be even bigger and even more profitable and the valuation should be better. So if anything, waiting helps us. But we'll have to see what the timing is just given the market. And in case anybody comes along and wants to just buy the brand outright from us in the next couple of years, that's always an option too.
Roger Lipton: Right. And just to clarify, the $218 million of securitized bonds, I guess, you call it on your balance sheet. So you can pick your spots. I just want to make sure I understand -- you can pick your spot in terms of selling them and the price in the marketplace. So you won't be able to get $218 million if interest rates are higher, obviously, a great deal higher now than they were when those securities were created. Is that correct?
Andrew Wiederhorn: The way I would think about it is we have $50-plus million in cash after the acquisition of Smokey Bones or cash equivalents. And then we have this almost $220 million of available-for-sale asset-backed securities bonds. And you're right that these bonds were issued for the most part, at 2021 fixed rates that may average somewhere around 6.75% to 7%-something.  But today's rates are considerably higher, so those bonds would sell at a slight discount today versus par back in 2021. That could be a 5% discount, a 7% discount whatever, something but nothing crazy. It's really -- a worst case way to think of it probably is there's $220 million of securities and you're going to get $200 million for, maybe $215 million, who knows. But the point is that they're available. It gives us liquidity, if we want to make an acquisition, liquidity to run the business, and that's what we're focused on. Now the markets are not as liquid as they once were. We all know that given where rates are and things like that. So it's all a function of subject to having a buyer on the other end of the phone that's at a price you want to sell at.
Roger Lipton: Right. Got it. We have to clarify that because I was -- in my mind, I was thinking that don't maybe worth $160 million, $170 million, but…
Andrew Wiederhorn: No, no, no, we're not -- we would not be sellers in those -- at those levels. And also remember that while we hold those bonds, we're earning -- we earn that coupon on that. So we pay it and then we get it back like a bondholder does every month. So it's not -- there's not really any cost of having those available. They're structured and they sit on the balance sheet and it's like we can jump into the cash register and pull one out and turn it into cash we need to.
Roger Lipton: Very helpful. Liquidity is good. Thanks Andy.
Andrew Wiederhorn: Any other questions?
Operator: As we have no further questions, this concludes our question-and-answer session. I would like to turn the conference back over to Andy Wiederhorn for any closing remarks.
Andrew Wiederhorn: Operator, thank you very much. Everyone, thank you for joining us and look forward to talking to you again on our next call. Have a good evening.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may all disconnect.